Operator: [Call Starts Abruptly] the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Kelsey Freed, Director of Investor Relations, you may begin your conference.
Kelsey Freed: Thank you and good morning, everyone. Today’s conference call and webcast includes a PowerPoint presentation, which is available on our Investor Relations website, irwendys.com. Before we begin, please take note of the Safe Harbor statement that appears at the end of our earnings release. This disclosure reminds investors that certain information we may discuss today is forward-looking. Various factors could affect our results and cause those results to differ materially from the projections set forth in our forward-looking statements. Also some of today’s comments will reference non-GAAP financial measures. Investors should refer to our reconciliations of non-GAAP financial measures to the most directly comparable GAAP measure at the end of this presentation or in our earnings release. On our conference call today our President and Chief Executive Officer, Kirk Tanner; and our Chief Financial Officer, Gunther Plosch, will give a business update, review our fourth quarter and full year 2023 results and share our 2024 financial outlook. From there, we will open up the line for questions. And with that, I will hand things over to Kirk.
Kirk Tanner: Thanks, Kelsey, and good morning everyone. Before we get started today, I wanted to share how fired up I am about the opportunity to join The Wendy’s team and lead this iconic brand. I’ve been a Wendy’s fan my whole life and what drove me to make this move was not just the amazing brand heritage, but the incredible potential I see in this business. I am confident that you will be just as energized about our future as I am after hearing our plans to drive profitable growth. Throughout my career, I have taken a customer centric mindset coupled with strong operational execution to guide growth and deliver on strategic objectives. I feel strongly that my experience and leadership philosophy will support our success and I am excited to bring this perspective to Wendy’s at such a pivotal time for the brand and industry. In my first nine days, I’ve had the opportunity to meet with many members of the team and some of our passionate franchisees. I look forward to spending more time with others across The Wendy’s system and our investment community in the coming weeks. When I look at Wendy’s, I see the highest quality food in the QSR industry, which has built a very strong foundation of sales and profit alongside a very healthy balance sheet. This foundation will serve as a springboard to drive what matters most, accelerated sales and unit growth, so the brand can reach its full potential. Our commitment to growth has never been stronger and I believe that our strategic focus on driving global same restaurant sales momentum, accelerating our digital business and expanding our footprint are the keys to unlocking our next chapter and becoming an even more formidable global competitor. Today you’ll hear our plans to invest behind these pillars to build a growth engine that drives an acceleration in sales growth, footprint expansion and margin enhancement to level up The Wendy’s brand for years to come. Before we dive into our profitable growth strategies, I’d like to take a moment to recognize the team’s accomplishments last year. We delivered strong 2023 results, driving sales and profit growth as we made continued progress on our strategic growth pillars. This marks our 13th consecutive year of global same restaurant sales growth, which highlights our consistent execution and dedication to growing The Wendy’s brand. Our international business achieved 8.1% same restaurant sales growth in 2023, laddering up to 20.5% on a two year basis and extending to eleven consecutive quarters of double-digit two year same restaurant sales growth. This success supported a record number of international new restaurants opening in 2023 and is a key enabler of our international expansion in the coming years. Our U.S. business reached 3.7% same restaurant sales growth in 2023, resulting in 7.6% on a two year basis. This growth allowed us to maintain our dollar and traffic share within the QSR burger category each quarter of 2023. We delivered meaningful year-over-year digital sales growth every quarter, growing nearly 30% across the full year to almost $2 billion, which was well ahead of our original expectations. We reached a record high 14.5% global digital sales mix in the fourth quarter, supported by strength across all channels as we built more personalized relationships with our loyalty members and continued to provide great in-restaurant experiences. Our sales expansion and lower commodity inflation supported 100 basis point year-over-year increase in U.S. company-operated restaurant margin to 15.3%. This return to pre-COVID margin sets the stage for even further improvement in profitability moving forward. We closed the year strong from a restaurant development perspective, bringing our full year openings to 248. On a net basis, we achieved our goal of 2% net unit growth with 75% of that growth in international markets. Finally, we remain disciplined in our capital allocation policy including 100% increase in our dividend rate and returned nearly $400 million to shareholders in 2023. All this momentum sets a strong foundation for our growth in the coming years. I will now turn it over to GP to share our fourth quarter and full year financial results. 
Gunther Plosch: Thanks, Kirk. We are pleased to deliver another quarter of sales and adjusted EBITDA growth to close 2023. In the fourth quarter, our global system wide sales grew over 3% supported by continued global same-restaurant sales growth and the benefit our global net unit growth. Our U.S. Company-operated restaurant margin of 13.5% contracted versus the prior year, primarily due to a quarter-over-quarter acceleration in commodity inflation to mid-single digits, customer count declines and labor inflation of almost 4%. These were partially offset by the benefit of a higher average check, driven by cumulative pricing of approximately 4.5%. G&A decreased approximately 4%, primarily driven by a decrease in employee compensation and benefits. Adjusted EBITDA increased 2.5% to approximately $127 million resulting primarily from higher franchise royalty revenue, a decrease in the company’s incremental investment in breakfast advertising and lower G&A expense. These were partially offset by a decrease in us company operated restaurant margin and higher franchise support and other cost. Adjusted EPS came in at $021, with the decrease versus prior year driven by higher monetization of cloud computing arrangement cost and a higher tax rate. These were partially offset by an increase in adjusted EBITDA. Across full year of 2023, our strategic plans and strong execution drove compelling financial performance. Our global system wide sales grew 6.1%, supported by the mid-single digit global same-restaurant sales growth alongside our 2% global net unit growth. Our U.S. Company-operated restaurant margin of 15.3% returned to pre-COVID levels, despite ongoing inflationary pressures. Adjusted EBITDA increased over 7.5% to approximately $536 million, while adjusted EPS increased almost 13% to $.97. Finally, free cash flow increased 29% to approximately $274 million, further demonstrating the high cash flow generating abilities of our business. With that, I will now turn it back over to Kirk to talk about our plans to drive growth in 2024.
Kirk Tanner: Thanks, GP. As I said earlier, I am excited to begin this chapter for the Wendy’s brand with a focus on accelerating our global growth, delivering significant restaurant margin expansion and driving long-term shareholder value. Now let’s turn to our growth plans across each strategic pillar. The breakfast daypart is one of the most compelling levers when considering sales growth and margin acceleration opportunities. We can grow our breakfast business significantly without adding incremental labor, which drives meaningful improvement of our restaurant economic model. To fuel the acceleration of this daypart to new heights, we are planning to invest approximately $55 million of incremental company advertising in the U.S. and Canada, split evenly over the next two years. This investment will further amplify our plans and support an always-on approach across media, partnerships and activations as we tell our breakfast story. We are on a mission to ensure everyone has tried breakfast at Wendy’s because we know from experience that once customers try our fresh cracked eggs and crispy bacon, they will be back again and again. The level of quality we provide on our breakfast menu supports our highest customer satisfaction scores and we are now driving further growth at the daypart by providing our amazing food at a great everyday price alongside craveable innovation throughout the year. I’ve had the privilege of meeting with some of our growth-minded franchisees and I can tell you they are all in on breakfast and are committed to further supporting our investments by doing everything they can to execute at the highest level in the morning. We expect our investment and plans will drive a 50% increase in weekly U.S. breakfast sales per restaurant over the next two years as we charge forward on our journey towards earning our breakfast day part fair share of approximately $6,000 weekly per restaurant. We also have plans in place to double down on what makes Wendy’s brand iconic. First, one of our biggest competitive advantages is our fresh, never frozen beef that we use on every hamburger every day. Nobody delivers this level of quality at the scale that we do, and we will once again utilize March Madness as a high impact platform to remind fans of this key Wendy’s difference. Second, we will continue to lead the category in ownable and innovative programs that drive both traffic and check in 2024 that means new premium flavors and builds on our popular Made to Crave platform. It means big news on Frosty, including new flavors that will drive special visits and add ons to existing orders. And it means game-changing innovation on our chicken lineup. Finally, we will continue to leverage our very own Biggie Bag platform to offer compelling everyday value. Importantly, we will always do this The Wendy’s way, which means never compromising on quality. This platform drove success in 2023 with our customer ratings on value and quality trending better than competitors positioning us to win visits in 2024. Critically important, we will execute with excellence in our more than 7000 global restaurants. In 2023 we made great progress on customer satisfaction, taste, accuracy and speed, and we will continue to elevate our in-restaurant experience to delight every customer every day. In total, we now expect our plans and investments will drive global same-restaurant sales growth of 3% to 4% in 2024, an increase versus our previous long-term expectation of low single-digits, and we expect to build on this momentum moving forward. Now, let’s turn to our plans to accelerate our digital business. We’ve made a ton of progress on our digital journey as we’ve grown digital sales from under $250 million in 2019 to almost $2 billion in 2023. We are clearly seeing the benefits of the higher frequency and checks that digital drives. We also know there’s a massive opportunity to further unlock digital sales growth and benefit even more from the margin expansion these channels can generate. To drive digital’s new phase of growth, we are planning to invest approximately $15 million, primarily in 2024, to further enhance our mobile app experience and step change our loyalty capabilities. The enhancement to our mobile app will allow us to consistently deliver a seamless experience for our customers, enabling them to access Wendy’s anytime, anywhere. We also implemented a new customer data platform in Q4 and are evolving our loyalty platform alongside best-in-class third-party partners. These initiatives will unlock our ability to act on customer data through segmentation and machine learning, driving a meaningful increase in personalization for our loyalty members. I’m excited about our new capabilities in our digital toolbox, but what really drives our confidence in accelerating digital is the way we’re bringing the entire experience together in a uniquely Wendy’s way. We started our journey by forging a data-centric infrastructure and building out a top talent team. That foundation allows us to gain the maximum benefit from these new platforms, including increased digital engagement, frequency and lifetime spend. We have the right people, systems and plans in place to fuel the next phase of digital growth and now expect global digital sales will reach over $2 billion in 2024, a full year earlier than planned. We are always focused on improving the customer and crew experience, and in that spirit, we are leveraging technology in our restaurants even more. We are planning to invest approximately $20 million to roll out digital menu boards to all U.S. company operated restaurants by the end of 2025 and approximately $10 million over the next two years to support digital menu board enhancements for the global system. We expect our digital menu boards will drive immediate benefits to order accuracy, improve crew experience and sales growth from upselling and consistent merchandising execution. Beginning as early as 2025, we will begin testing more enhanced features like dynamic pricing and day part offerings along with AI-enabled menu changes and suggestive selling. As we continue to show the benefit of this technology in our company-operated restaurants, franchisee interest in digital menu boards should increase further supporting sales and profit growth across the system. We will continue setting the pace in generative AI and now have rolled out Wendy’s fresh AI in several restaurants where we see ongoing improvement in speed and accuracy. This technology also plays a key role on our restaurant team, enabling the crew to focus on what matters, preparing fresh, high quality Wendy’s favorites and building customer relationships to bring them back time and again. We will do everything we can to ensure this new technology is delighting our customers and crew while enhancing our restaurant economic model along the way. The incremental sales growth we expect to deliver behind our investment in breakfast, digital and technology will drive meaningful sales leverage in our restaurants. These initiatives are highly incremental and margin accretive to the overall business, driving further benefit to restaurant margin. These growth drivers, alongside our continued focus on supporting the restaurant economic model through cost management and strategic pricing are driving acceleration in our U.S. company-operated restaurant margin outlook to 16% to 17% in 2024. And our plans perfectly position us to continue driving meaningful margin expansion into the future. The top 25% of our company-operated footprint already achieved over 20% restaurant margin, so we know significant growth is achievable. We are now creating the foundation for all restaurants to reach towards the top performance tier. We are committed to working with our franchisees to support margin expansion across our system. This drives both incremental profit for our current footprint and improvement in new unit economics which further supports our global footprint expansion. Our expected restaurant margin expansion will improve new build paybacks and drive increased financial health across our system, increasing development appetite from new and existing franchisees over time. But we aren’t waiting to accelerate our unit growth. We are fueling growth now with continue to support of our global expansion plans. Our popular build a suit funds continue to drive unit growth and we expect to add incremental funding to the program over time to drive even more new restaurants. Additionally, as our restaurant economic model becomes even more compelling, we will lead by example and continue to expand our company operated footprint in the U.S. and UK. These initiatives build on our groundbreaker and pace setter development incentive programs and our increased franchise recruiting efforts, which have resulted in hundreds of new restaurant commitments and 70 approved new franchisees across the last two years. These plans support our goal of driving global net unit growth of north of 2% in 2024 and further acceleration to 3% to 4% in 2025. As of today, we have over 90% of our new restaurant pipeline through 2025 committed under a development agreement. This represents a 20% increase versus our position in the previous quarter, further solidifying our confidence in achieving our development goals. Now I’ll turn it back to GP to walk through our financial outlook.
Gunther Plosch: Thanks, Kirk. Our 2024 financial outlook, which replaces our previous long-term outlook, reflects the strong foundation we are building as we enter our next chapter. We expect to deliver significant sales growth of 5% to 6% this year, driven by global same restaurant sales growth of 3% to 4% and global net unit growth north of 2%. This sales growth flows through the P&L, benefiting royalties and our company operated restaurant EBITDA and driving our 2020 forecasted EBITDA outlook of approximately $535 million to $545 million, flat to slightly up versus the prior year, as we are making significant incremental investments across the business. We are expecting us company operated restaurant margin expansion of approximately 100 basis points to 16% to 17%. This is supported by our sales growth, including cumulative pricing in the low-single digits and flat commodity inflation. We expect labor inflation will hold relatively steady versus the prior year at 3% to 5%. Please note that we expect our startup investments and ongoing inflationary pressures in the UK market will represent a headwind of approximately 50 basis points to global company operated restaurant margin. We anticipate that the increases in royalty and restaurant EBITDA will be partially offset by our investment in U.S. and Canadian breakfast advertising, an increase in G&A to $265 million to $275 million and a decrease in net franchise fees to $15 million to $20 million. The expected G&A increase is driven by investments to hire and support top talent to drive our growth plans. These increases are partially offset by lower expected professional fees. We expect free cash flow to grow to approximately $280 million to $290 million this year. We expect this will be driven by lower cloud computing arrangement cash outlays of approximately $25 million as both phases of our EAP implementation have now been completed, an increase in our core earnings and cash received for development activities and services provided to franchisees. We anticipate these benefits will be partially offset by an increase in CapEx to $90 million to $100 million, driven by the rollout of digital menu boards to our U.S. company operated restaurants, investments in our mobile app, and an increase in company new builds. To close our 2024 outlook discussion, we expect an increase in our adjusted EPS in 2024 to $0.98 to $1.02, primarily driven by an increase in adjusted EBITDA and lapping a decrease in investment income in the prior year. These are partially offset by lower interest income, driven by an expected decrease in our cash balance as we invest in the business for growth and an increase in amortization of cloud computing arrangements. We’re building a profitable growth engine behind our investments to drive continued sales and margin expansion, supporting earnings and cash flow growth for years to come. Finally, I’d like to highlight our capital allocation policy, which remains unchanged. Investing in growth remains our number one priority and that is clear through the investments we are making to fuel our strategic growth pillars. Secondly, we are committed to sustaining an attractive dividend. We announced today the declaration of our first quarter dividend of $0.25 per share and expect a full year dividend of a $1 per share in 2024. As we turn our focus to growth investments and maintaining an industry-leading dividend yield, we plan to allocate less cash over the next year to share and debt repurchases. We have approximately $310 million remaining on our $500 million share repurchase authorization expiring in February of 2027 and approximately $20 million remaining on our debt repurchase authorization expiring this month. We remain fully committed to delivering a simple yet powerful formula. We are predictable, efficient growth company that is driving strong system by sales growth on the backdrop of positive same-restaurant sales and expanding our global footprint. This is translating into significant free cash flows, which supports meaningful return of cash to shareholders through an attractive dividend and share repurchases. With that, I will hand things over to Kirk.
Kirk Tanner: Thanks, GP. I couldn’t be more excited for what’s ahead of us at Wendy’s as the investments and plans we announced today position us to drive growth across our strategic pillars. These plans are specifically designed to complement each other in ways that build Wendy’s fandom and bring more customers into our restaurants more often. Our plans and investment enable us to delight our customers with high quality menu items, exciting innovation and compelling value across our day parts, fueling an increase in our 2024 global same restaurant sales expectations to 3% to 4%. They allow us to build personalized relationships with our fans and make it easier for them to access the brand anytime, anywhere, enabling us to reach our global digital sales goal of over $2 billion a year earlier than planned. And they drive our global footprint expansion, bringing more Wendy’s restaurants to the world and empowering our net unit growth acceleration to 3% to 4% in 2025. Wendy’s already has a strong track record of growth and now we are solidifying that foundation with the right investments at the right time to drive us to the next level. In the coming months, I am committed to working alongside the Wendy’s system to build a robust profitable growth plan that will unlock the full potential of this iconic brand. With that, I will hand things over to Kelsey to share our upcoming IR calendar.
Kelsey Freed: Thanks, Kirk. We’re excited to get on the road and introduce many of you to Kirk, who will be attending all our investor events this quarter. To start things off, we have an NDR in Boston with Piper Sandler on March 7. We’ll then attend the UBS Conference in New York on March 13, followed by the Citi Conference in Orlando on March 21. Lastly, we plan to report our first quarter earnings and host a conference call that same day on May 2. As we transition into our Q&A section, I wanted to remind everyone that due to the high number of covering analysts, we will be limiting everyone to one question only. With that, we are ready to take your questions.
Operator: [Operator Instructions] We do have our first question comes from Danilo Gargiulo from Bernstein. Danilo, your line’s now open.
Danilo Gargiulo: Thank you. And first of all, Kirk, welcome aboard. Quick question on the unit growth expectations for 2024, you’ve just recently been into the business. Can you help us understand, in your view, what has prevented Wendy’s from potentially accelerating the unit growth development in 2024 and why are you excited about the growth development potential in 2025 and beyond?
Kirk Tanner: Danilo, nice to meet you. Thanks for the welcome. Yes. In 2024, we’re excited about our expansion. I think the first thing to think about is between 2024 and 2025, we have 90% commitments through our development plan, so that gives me a lot of confidence. In 2024, we see north of 2%, which is an acceleration on 2023. I feel really good about that, and I feel really good about 2025 and beyond, because we’ve got that momentum and we can see that momentum moving into the future. That gives me a great deal of confidence.
Operator: Our next question comes from Joshua Long from Stephens, Inc. Joshua, you may proceed with your question.
Joshua Long: Great. Thanks for taking my question. Curious if you can talk a little bit about the breakfast sales trends to date and interested to hear about the incremental marketing that you’re going to be focused on to drive that awareness in 2024 and beyond? Curious kind of maybe with the second round of investment, what we’ve learned or what you all have learned from the first round and maybe how it might differ as you seek to drive the overall awareness of the category.
Gunther Plosch: Good morning, Josh. Yes, on breakfast, we’re really happy with our Breakfast business. As you know, we are in it since four years. We have now created the number three market position in the United States, and there’s a lot of opportunity, right? As you have heard on the prepared remarks, our fair share on this business is $6,000 per restaurant per week. We are definitely with that investment growing sales by about 50% in the next two years. And how do we do that, right? We definitely are doing more innovation. You have seen us launch a breakfast burrito that will resonate well with consumers. We are also leveraging the Cinnabon brand to launch Cinnabon Pull-Aparts to again fulfil an unmet need that will drive trial and repeat and will drive the Breakfast business further. Secondly, I would say is we have definitely learned that kind of everyday value is really important. So you have seen us in the second half of last year do two for $3 meal bundle on breakfast. The consumer has learned now that that they are here to stay, so whenever they choose us in the morning day part, they will find great value and obviously they find the best breakfast food in the category. I would also say is, our franchise community is super excited about the breakfast investments that we are making. So they are all in. As you have heard, right, Kirk went and talked to a lot of franchisees and they are excited to support the investment and continue to support and drive the Breakfast business for us.
Kirk Tanner: Yes, just let me add a few things. Look, this is the most compelling growth opportunity for Wendy’s and with the investment, the innovation and the excitement from the franchise community this is a real opportunity for 2024 and 2025. So you think about our SRS growth, this represents about a third of the growth just in breakfast. So it’s certainly a big bet for us, a lot of upside for us and we really have system excitement. So I’m really excited about this opportunity.
Operator: Our next question comes from Jon Tower from Citi. Jon, your line is now open.
Jon Tower: Great. Thanks. Maybe just following-up on the breakfast piece. Why – just curious, why breakfast and what do you think about the rest of the day parts? Are there any shifts in incremental spending regarding lunch and dinner? And can you give us maybe some context on how breakfast performed in third and fourth quarter of 2024? And maybe just reiterating Josh’s question how it looks quarter-to-date?
Gunther Plosch: Yes, Jon, on the breakfast side, right, I think we spend enough time answering the question and again, we are liking it because it’s obviously super incremental from a profitability point of view for the franchisees and for us. We can add 50% of sales without really adding any additional labor. So it’s a great driver for restaurant economic model. I would say on rest of day, obviously super important for us. We are definitely going to double down on everything that makes this brand iconic, right? Fresh, never frozen beef, every day, the whole line-up, nobody can do that on the same scale as we. We’re going to drive innovation. You’re going to say, see news on made to grave, you will see news on frosty flavors and you will see innovation on the chicken line-up. I also would say value important, right, the consumer is under pressure and our very ownable Biggie Bag is driving restaurant economic model for us and is meeting the needs of those consumers that are looking for a deal. And last but not least, execution, execution, execution in their restaurants. We’ve made great progress in quarter four. We got faster, customer satisfaction, accuracy all went better, and it’s obviously a huge focus for us. Kirk, anything else you want to add?
Kirk Tanner: Yes, I think we’ve talked about the upside potential and the profitability upside for breakfast for sure. I would just add we’ll use some of our platforms like March Madness to talk about our fresh, never frozen hamburgers, which are truly, I think, the best in the industry at the scale that we can provide. So, we will certainly celebrate what we’re famous for. But again, very excited about breakfast. Again, that’s not the only thing we’ll be talking about, but that’s certainly one of the most important growth drivers for 2024 and 2025.
Gunther Plosch: Yes, John, I just realized I didn’t answer your question in terms of sales strength beginning of the first quarter. As you know, we don’t give this out, but I can give you a little bit of color. As you have heard, we are increasing the SRS guidance with this outlook to 3% to 4%. The previous guidance was low single digit, so there’s definitely an acceleration behind the investments. Can definitely say from a shake point of view, I can say quarter one will be slightly lower and then quarter two and quarter three will be kind of steady and a little bit higher than the fiscal year guidance. You might ask then the question, so why are we saying quarter one is a little bit lower? A couple of things. First of all, definitely difficult comparisons. You know, in the first quarter of last year, our global SOS growth was 8%, and clearly weather conditions in the United States didn’t help. I can also offer that we have seen the sales momentum accelerate in recent weeks, and with all of that, we are confident with the sales guidance we have given out.
Operator: Our next question comes from Brian Bittner from Oppenheimer. Brian, your line is now open. 
Brian Bittner: Thanks. Good morning. GP, I just want to follow up on that. The system sales guidance for 2024 does assume the 3% to 4% comps. And I do just want to understand the confidence in setting what does seem to be a high bar. I understand there’s investments coming to drive growth, but you guys just did 1% comps in 4Q, 2% comps on average the last couple of quarters, pricing is rolling off. So maybe help us understand why the same-store sales assumption for 2024 is not a range that maybe reflects a bit more conservatism and maybe gives you a chance to maybe under promise and over deliver on the same-store sales. And why come out of the gate with what seems to be a pretty bold 3% to 4% target for comps?
Gunther Plosch: Yes. Brian, good morning. The reason why we increased the guidance is, we’ve put more money behind to drive that growth that was not contemplated obviously in the previous guidance. So it’s kind of the main reason, as we obviously thought about this guidance and looked at our plans, we feel really good about them. What are the underlying assumptions to break it down a little bit? We definitely expect that the hamburger category will be slightly positive in traffic next year. That’s our assessment. That’s also the assessment of market research company that we are looking advice for. And then if you look at on U.S. SRS, we are definitely expecting low single-digit traffic growth. Again, we are building frequency. Right? We’re building frequency in breakfast. We’re building frequency in digital to drive traffic for us. We expect low single-digit prices. Your observation is correct. We have a carryover price of about 2%. We have a small price increase set up for the middle of the year. So that makes it about low single-digit. And we expect the mix to be about flat. So that’s the story. We obviously haven’t given you all the details on all our commercial plans. We are highlighting breakfast, but again, rest of day with obviously a huge portion. We have a lot of exciting news and approaches for our consumer that makes us confident that guidance is very realistic.
Operator: Our next question comes from Dennis Geiger from UBS. Dennis, your line is now open.
Dennis Geiger: Great, thanks And Kirk, congratulations. Wondering if you guys could talk a little bit more about your customer, whether you’re seeing anything as far as customer behaviors or spending patterns changing. I think GP, you just mentioned a little bit around the consumer pressure and I think you talked about value within that context. So curious, if anything more, to expand also on the brand’s value offering anything on maybe value perception scores and maybe at a high level just value plans for the year, if there’s a way to kind of frame that up for us. Thank you.
Gunther Plosch: Good morning, Dennis. Let me start with the answer and then we’ll have Kirk chip in if I forget anything. So you’re right, the consumer is definitely under pressure, continues to be under pressure. The trend that the lower income consumer, which we define as somebody with a household income of less than $75,000. Traffic is down with them. Our share is unchanged. So we are not losing there. Same thing on the higher household income consumer. Traffic there is up. And again, our share is unchanged. That’s my overall in the quarter. Our dollar and traffic share was unchanged. So value is going to be important. I think our barbell strategy of offering a Biggie Bag up to what I would call super premium with Made to Crave, I think is definitely helping all our consumer bases. The high income consumer is probably tending more to the higher priced items in the menu and vice versa. So that’s kind of the consumer dynamics. If you look at the history of the category, you definitely find that net disposable income and miles driven are pretty big correlators and expectation is clearly that net disposable income should go slightly up sequentially, right. Why do we believe this economy is doing pretty well? We are basically in full employment. Grocery inflation is coming down. So quarter versus quarter that the consumer should start to see net disposable income coming up slightly, feel a little bit richer, and feel a little bit like, yes, what I can treat myself and come a little bit more often into the restaurant. Fuel costs came down a little bit, so driving around mobility has come a little bit better. So all of that explains a little bit our position on the category should do a little bit better. And we would absolutely expect that we would perform at least in line with the category.
Kirk Tanner: Yes. Look, I would just add in my early days here. I’m seeing the Biggie Bag, looking at consumer trends and consumer feedback. Consumers love Biggie, and that is a real platform we’ll continue to build on. Value is going to be incredibly important. It also gives me the confidence of why we’re building this digital capability so that we can give personalized value. We can also create that loyalty and have momentum and loyalty. So digital is another avenue for us to drive value and the quality that we have at Wendy’s.
Operator: Our next question comes from Chris O’Cull from Stifel. Chris, your line is now open.
Chris O’Cull: Thanks. Hi, Kirk. Welcome to the call. Thanks for the information about the plans for 2024. But I would like to hear your thoughts about the company’s longer-term strategic priorities, or at least if the company is going through a process to kind of evaluate whether the right long-term growth priorities are in place. And what I mean by this, for example, are things like whether the company should be focused on international development outside of North America is the right strategy, or whether it should maybe consider franchising multiple domestic brands, I’d love your thoughts on that?
Kirk Tanner: Chris, yes, good to meet you. Yes, one of the things that attracted me to Wendy’s was certainly the potential for profitable growth and the expansion opportunities that we have. I mentioned earlier that 90% of our development we can see full line of sight of through 2025. One of the big growth opportunities certainly is both domestic and international expansion. We have a brand that certainly travels outside the U.S. and has the capability to provide great value and profitability and returns to franchisees. So we’ve recently brought on another 70 franchisees and approved another group of franchisees to drive that development. We’re looking at international development as a real opportunity. We will build a – we’ll put a flag in several different countries that we can build brand awareness, drive profitable growth. Yes, that is, I got to tell you, that is one of the things that excited me the most about joining Wendy’s. That is, in addition to driving SRS growth in our digital platform, unit growth both domestically and internationally is the clear priority for us.
Operator: Our next question comes from Eric Gonzalez from KeyBanc. Eric, your line is now open.
Eric Gonzalez: Hey, thanks for the question and welcome, Kirk. My question is about the late-night day part, I don’t think we really talked about it that much on the prepared remarks. So maybe you can discuss how that performed during the fourth quarter and whether you continue to view that as a growth driver in 2024?
Kirk Tanner: Good morning, Eric. Yes. Really happy with the late-night day part in the – really grew in the fourth quarter, about mid-teams year-over-year. So that was really a nice sales driver for us in 2023, as you know, right. We’ve managed now to get really good support from franchisees on that initiative. About 90% of our company, rest of our restaurants are open to midnight or even a little bit later. We love the business. It has higher average check. It’s really good for the delivery business. So we like all of that. I would however say is that’s in the base. I think it’s going to be a valuable sales layer going forward. But I would not expect the outsized high teen growth rate that we have seen in 2023 to repeat itself in 2024.
Operator: Our next question comes from John Ivankoe from JPMorgan. John, your line is now open.
John Ivankoe: Yes. Hi. Thank you. Hi Kirk, how are you? And I have two, if you don’t mind. The question on international and especially the idea of putting a flag in, certain international market to drive opportunity, in some cases UK specifically it’s a mature market, there’s a number of competitors that have a lot of scale in that market. You are relatively new and very subscale in that market. So you may be applying some of your PepsiCo type of experience. How can Wendy’s come-in and break-in a mature market where scale has already been established by some very long-term competitors. Just kind of give us that path to success if you don’t mind?
Kirk Tanner: Yes. Well, that’s exactly, I think you’re onto something here especially with the UK. One thing that I love about what we have is we have this quality differentiation that really plays in that market. We’ve seen real momentum in the UK and we have enough evidence with winning over customers with our quality, which is very differentiated, which is meaningful for the UK consumer. We’ve seen the growth and we will continue to build in that market along with other markets. But in that example, we have enough momentum, enough evidence where we have brand love, brand awareness and those are the things you think about when you’re building a market is, wow, the awareness, what you’re famous for, differentiation and we have momentum. So I feel really good about where we’re going internationally. And to your example, the UK is a very strong market and has tons of potential for the future.
Gunther Plosch: And John, I wanted to add that also our franchisees are super excited, right. We have ten franchise restaurants in the United Kingdom, plus 14 beef [ph] units and 12 company units. And the initial results that our UK franchisees saw excited them so much that actually early in, they increased their development commitments and said like they look there. Something there, this resonates with the UK consumers. We are so confident that we want to sign additional commitments to help you grow the market. So I think it’s another good data point to think about that we probably got the entry into the UK, right. It’s a springboard for us into Europe and we think the investment is going to pay out nicely for us and for our shareholders.
Operator: Our next question comes from Andrew Strelzik from BMO. Andrew, your line’s now open.
Andrew Strelzik: Great, thank you and good morning. My question is on the restaurant margin outlook you provided for the U.S. business. Obviously expecting some nice margin expansion there, so I guess I was just hoping you could break that down a little bit. How much are you expecting that breakfast is going to contribute in 2024? How much visibility do you have on the commodity inflation side, the fact that you mentioned? And as you think about balancing value and premium, I don’t know if you’re expecting mix to be a positive contributor or negative. I’m just curious for a little more texture on the margin outlook? Thanks.
Kirk Tanner: Good morning, Andrew. Yes, we feel really confident about the guidance of 100 basis points, up to 16% to 17%. It’s definitely sales leverage. Right. So the 50% growth of breakfast over the next two years drives some of the profitability. Same with digital. Right. As you know, check remains elevated versus the non-digital check that drives things for us. We have a couple of projects out there on kind of pure cost management to help get margin expansion going for us. Pricing, right, I talked about, about low single-digit pricing in the context of an expectation that commodities is going to be flat for us in 2024 and labor inflation in line with history, about 3% to 5%. Little bit of color on the commodity front. We definitely expect chicken to be deflationary for us, beef and fries inflationary all of that balances out to flat. From a visibility point of view, about 75% of our commodity pricing is locked down. The remaining 25%, as you know, a decent amount of debt is beef, as you know, we cannot lock that down throughout the year. So it’s kind of the colored restaurant margin for you.
Operator: Our next question comes from Chris Carril from RBC Capital Markets. Chris, your line’s now open.
Chris Carril: Hi, thanks. Good morning. So GP, I believe you mentioned an increase in company new builds. So can you expand maybe a bit more on that? What the plan is there both near-term and long-term, just maybe touching on the impact of franchise mix, whether you plan to refranchise those new builds over time. Just any further detail on the company owned strategy. Thank you.
Gunther Plosch: Yes, good morning. So overall, it’s not a departure of our strategy. It’s a little bit of leaning in putting where money where our mouth is. We’re going to stay asset light. As you know, our company restaurant ownership is about 5.7%. At the end of this last year, it will hover around with the growth of the rest of the system to about the same level. You can definitely expect that we are going to continue to build out the UK footprint. So that’s about. We are sitting at 12 restaurants currently. In the next couple of years, you can expect a growth to about 20 restaurants. We’re also going to build out some of our existing markets in the U.S. a little bit further. So that’s kind of the color on us leading in. It is not a departure from an asset like structure. We are just demonstrating to franchisees that there’s money to be made. There’s a great financial return to be had when you build restaurants these days with the margin structures that we have and the AUVs that we have and the margin outlook that we have.
Operator: Our next question comes from Sara Senatore from Bank of America. Sara, your line is now open.
Sara Senatore: Great. Thank you very much. Just wanted a follow up question on the competitive environment. I know, third quarter, you exited, I think with positive traffic. You talked about fourth quarter, you kind of maintained your share and – but traffic, I think dipped negative. So could you just maybe talk about how much of that was the market versus maybe your menu news or marketing and as you think about getting the positive traffic in the year ahead. Not to belabor this, but can maybe if you could press on some of the levers, is it just the marketing dollars or you expecting perhaps some improvement in the operating or competitive environment too?
Kirk Tanner: Good morning, Sara. Yes, the comment on the quarter four, I would say, is really the category. The category was relatively soft. We performed in line with the category. I think we had a pretty decent program out there in quarter four. We pushed breakfast a little bit with the English Muffin and obviously starting to instill the expectation with consumers on a $2, $4 for $3 meal deal that is representing great value. So, I would say the category in the fourth quarter was probably a little bit softer than we thought. We stayed obviously within the sales guidance that we had given of 6% to 7%, but we ended on a slightly lower side, but didn’t obviously miss it. And again be encouraged about the programming for next year. Breakfast is important and that’s not the only thing we are doing. There is decent amount of innovation across all our main product lines on rest of day that are going to fuel the business on the digital side and together with the breakfast business, that’s kind of enough color I can give on that one.
Kelsey Freed: All right. Thank you, Sara. That was our last question of the call. Thank you Kirk and GP, and thank you everyone for participating this morning. We look forward to speaking with you again on our first quarter call in May. Have a great day. You may now disconnect.
Operator: Ladies and gentlemen, this concludes today’s call. Thank you for joining. You may now disconnect your lines. Thank you.